Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Reservoir Media's Financial Results for the Fourth Quarter and Fiscal Year 2024 ended March 31, 2024. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Jackie Marcus with the Alpha IR Group, who will review our agenda today and the company's forward-looking statements. Jackie?
Jackie Marcus: Thank you, operator. Good morning, everyone, and thank you for participating in today's earnings conference call. Reservoir Media issued a press release with results for its fourth quarter and fiscal year 2024 ended March 31, 2024, earlier this morning. If you did not receive a copy of our earnings press release, you may access it from the Investor Relations section of our website at investors.reservoir-media.com. With me on today's call are Golnar Khosrowshahi, Founder and Chief Executive Officer, and Jim Heindlmeyer, Chief Financial Officer. As a reminder, this call is being simultaneously webcast and will be recorded and archived on the Investor Relations section of our website. Before I turn the call over to Golnar and Jim, I'd like to note that today's discussion will contain forward-looking statements that reflect the current views of Reservoir Media about our business, financial performance and future events and, as such, involves risks and uncertainties. Our expectations, beliefs and projections are expressed in good faith and we believe there is a reasonable basis for them. However, there can be no assurance that our expectations, beliefs and projections will result or be achieved. Please refer to our earnings press release and our filings with the Securities and Exchange Commission for more information on the specific risks, uncertainties and other factors that could cause our actual results to differ materially from our expectations, beliefs and projections described in today's discussion. Any forward-looking statements that we make on this call or in our earnings press release are as of today, and we undertake no obligation to update these statements as a result of new information or future events, except to the extent required by applicable law. In addition to financial results presented in accordance with generally accepted accounting principles, we plan to present during this call certain financial measures that do not conform to US GAAP if we believe they are useful to investors or if we believe they will help investors to better understand our performance or business trends. Reconciliations of these non-GAAP financial measures to the nearest comparable GAAP measures are included in our earnings press release. I would now like to turn the call over to Golnar.
Golnar Khosrowshahi: Thank you, Jackie. Good morning, everyone, and thank you for joining us today. Our 2024 fiscal year results are representative of our high-quality roster and catalog, our management team and our value-enhancement infrastructure. Together, these factors contributed to record-setting total revenue and operating income for the full year. We continue to build on our proven track record and strong financial footing. We posted an 18% increase in revenue for the fiscal year, which includes acquisitions and 15% and 22% growth in our music publishing and recorded music segments, respectively. We added several award-winning artists and songwriters to our catalog, which I will discuss in a moment, and we were honored to share recognition with our creators, who contributed to an impressive ten Grammy awards across six genres, two Rock and Roll Hall of Fame inductions, and 42 number ones across all of Billboard's charts. Our roster broke records and achieved new milestones this year, including the celebration of the 35th anniversary of De La Soul's groundbreaking debut album, "3 Feet High And Rising." We also saw SZA's "Snooze," co-written and co-produced by our writer/producer, Khris Riddick-Tynes, sit at number one on Billboard's R&B/Hip-Hop Airplay chart for a record-breaking 37-weeks. Additionally, Rob Ragosta's cowrite "Need A Favor" by Jelly Roll became the first song ever to reach the top ten on both the Billboard Country Airplay chart and the Mainstream Rock Airplay chart going on to claim the top spot on multiple other charts. Our strategy to work with hit-making creators across genres provides for more revenue-generating opportunities and access to diverse listening audiences. We finished out the year with a strong fourth quarter with healthy organic revenue growth of 8% or 12%, including acquisitions. This year's Super Bowl was a standout moment in Q4 with the halftime entertainment show featuring Usher's performance of several Reservoir-owned assets including Ya and Getlo. Between the halftime performance and advertisements featuring syncs by our roster and catalog, including David Guetta, De La Soul, Creed frontman Scott Stapp, and Lil Jon, our music reached an estimated 123.7 million viewers, the largest audience for a single network telecast to date. While we always strive to find new opportunities for our existing catalog and add new talent to our portfolio, we also want to be at the forefront of how music is created, consumed and analyzed to help increase the ROI on our investments. Early on, our team recognized the value artificial intelligence and machine-based learning could bring to our business, and we have made investing in these areas part of our general operating practice over the past few years. To-date, we have successfully used AI to increase revenue by tracking and identifying more uses of our copyrights across digital platforms. We are now able to detect works that have been covered or altered, and then monetized these songs in a scalable way. AI has also opened up an opportunity for us to rework existing archival audio and repurpose it in new and imaginative ways. Moreover, we are capturing and gleaning insights from large volumes of detailed metadata, thereby improving efficiencies. For example, our synch team is using AI to automatically generate more descriptive metadata to surface new ways to promote our catalog. Additionally, our marketing teams are utilizing platforms with enhanced AI capabilities to create marketing collateral. We are also seeing our songwriters explore this technology to help expedite and enhance their own creative process in the studio. All of these align with our common priority to use AI tools to capture more revenue by automating previously time-consuming tasks, freeing up our human resources to focus on higher-value work. We will continue to make investments in AI-enabled tools, and as caretakers of our roster's body of work, we will ensure our artists and assets are protected and fairly compensated as this technology continues to evolve. Turning to other industry trends, we have seen user engagement remain high despite recent price increases by global streaming platforms, the market still added 83 million new paid subscribers in 2023, according to the latest IFPI report. Looking forward, we are poised to benefit from what we believe will become a regular cadence of price increases across streaming platforms. However, we remain focused on the impact of Spotify's recent accounting change as a result of their bundled subscription reclassification. To that end, we are steadfast in ensuring our roster is compensated both accurately and justly, and we will continue to work toward achieving solutions with all entities that use our assets. The audience's relationship with music extends beyond casual listenership, and people around the world are re-engaging with old favorites, discovering new artists, and uniting in niche superfan communities. Goldman Sachs 2024 Music in the Air report estimates these superfan communities to be a $4.5 billion market, with 20% of page streaming subscribers willing to spend two times more on music than the average person. With this, we have seen an increase in demand for concerts and music festivals, particularly from Gen Z and Millennials. e IFPI. Our total performance revenue, which includes live performances as well as other public performance sources in fiscal 2024 rose 37% year-over-year. This engagement solidified fan relationship with music and impacts continued listenership and familiarity. Before Jim dives into our financials, I'd like to take a moment to discuss some of our signings and important acquisitions over the past year, all of which further demonstrate our resounding commitment to building a catalog across musical genres, geographies and eras. These include five-time Grammy-winning rock legend, Joe Walsh, including the publishing rights to his hits as both a solo artist and with era-defining bands, The Eagles and the James Gang, as well as future works. We announced a catalog acquisition and go-forward deal with Latin hitmaker and Latin Grammy Awards founder, Rudy Perez. We welcomed four-time Grammy award-winning rock band, Kings Of Leon to the roster. We acquired the catalogs of four members of legendary R&B and pop vocal group, The Spinners, who were inducted into the Rock and Roll Hall of Fame in November. We expanded our presence in emerging markets this year, in conjunction with our partner, PopArabia, we added the catalog of Cairo-based content production and distribution company RE Media, which included over 6000 recordings and compositions. We also secured the master in publishing rights for the catalog of Egyptian rap duo, El Sawareekh. We announced the acquisition of and joint venture with Saudi Arabian hip-hop label Mashrex. And in January, we announced a deal with In2Musica, the label, publisher, and production house of Lebanese pop star, Nancy Ajram, known as the Queen of Arab Pop, to bring her full catalog to Reservoir. Goldman Sachs's 2024 Music in the Air report stated emerging markets accounted for 60% of net subscriber additions in 2023 and are expected to make up 70% of additions by 2030. These new subscribers are expected to grow emerging markets revenues to 22% of global streaming revenue by 2030. This anticipated growth reinforces our investments in these markets and we were also the new home of artists and songwriters who are reshaping today's music landscape one hit at a time, including Steph Jones, who is one of the co-writers of Sabrina Carpenter's hit record "Espresso," which has already been dubbed The Song of the Summer by outlets like Time, Business Insider, Pitchfork, Fox, Nylon and more, and we signed viral rapper, Armani White to a publishing deal. Armani's popularity rose meteorically with his global hit Billy Eilish, and his star has only continued to rise with follow-up releases, prominent synch placements and performances on stage and screen. We look to build on the success of our fiscal 2024 with the addition of more genre-defining artists while helping to foster the next generation of creators. Our pipeline remains robust with over a billion dollars in consideration and as Jim will discuss, we are in a solid financial position to continue executing on transactions where we see the greatest ROI. We have the right tools and team to drive organic growth from our existing catalog and we will continue to make technology investments to help us better understand our data usage trends and revenue capture. With that, I'd like to turn the call over to Jim to discuss our fourth quarter and fiscal year results, as well as our fiscal 2025 guidance in greater detail. Jim?
Jim Heindlmeyer: Thank you, Golnar, and good morning everyone. We closed out our fiscal year 2024 in a position of strength with double-digit top-line growth across both segments of the business. We also made many acquisitions and signed numerous artists and songwriters over the course of the fiscal year, which we believe will be a healthy source of future revenue growth. Let's start with the fourth quarter. Revenue for the fourth fiscal quarter was $39.1 million, which was a 12% increase compared to the fourth quarter of fiscal 2023, driven by strong growth in both segments and highlighted by 14% growth in the music publishing segment, inclusive of the acquisition of various catalogs. With respect to our operating expenses for the quarter, our overall cost of revenue increased 16% versus the prior-year quarter. Our depreciation and amortization costs increased year-over-year due to our continued catalog acquisitions. Company administration expenses saw a 19% increase from the prior year. From an operating performance perspective, in the fourth quarter, OIBDA increased 5% year-over-year to $15.1 million. Adjusted EBITDA increased 6% to $16 million. The increase in adjusted EBITDA in the fourth quarter was largely driven by stronger revenue, particularly in performance and digital, within the publishing segment, but was also partially offset by higher administrative expenses from our artist management business. Interest expense was $5.2 million for the quarter, compared to $4.2 million in the same period last year. Net income for the fourth quarter of fiscal 2024 was $2.9 million versus $2.3 million in the fourth quarter of fiscal 2023. This resulted in diluted earnings per share for the quarter of $0.04, which is the same as the prior-year period. Moving to our full fiscal year 2024 results, revenue came in at $144.9 million, an 18% year-over-year increase and above the top end of our guidance range. This beat was the result of strong performance in both the music publishing and recorded music segments, which posted growth of 15% and 22%, respectively. Turning to our operating expenses for fiscal 2024, our overall cost of revenue saw a 16% increase from fiscal 2023. This increase is attributed to a higher revenue base resulting from acquisitions and value-enhancement efforts and a change in the mix of revenue by type within the segments. As Golner mentioned, we have made some investments in AI tools and machine-based learning over the past several quarters and expect to continue to do so although the level of investment will fluctuate. Administration expenses for fiscal 2024 increased 28% from the prior year to $39.8 million, primarily due to a write-off of recoupable legal expenses and attorney fees and inflationary cost increases. OIBDA in fiscal 2024 increased 15% year-over-year to $49.6 million, while adjusted EBITDA grew 20% to $55.6 million. These increases were largely from higher revenues across the business and effectively managing operating expenses. As a reminder, we have reconciliations for these metrics in our earnings press release and 10-K filing. Our interest expense was $21.1 million for the full fiscal year, which was an increase of 43% compared to $14.8 million last year. This increase was largely the result of a higher debt balance due to the use of funds in acquisitions of music catalogs and writer signings, an increase in SOFR as well as interest paid in connection with the settlement of a royalty dispute. Net income for fiscal 2024 came in at 800,000 versus $2.8 million last year. The decrease in net income for the year was due to losses on the fair value of interest rate swaps, the write-off of recoupable legal fees, and increased interest expense. However, those factors were partially offset by a decrease in income tax expense and improved operating income. This resulted in diluted earnings per share for the year of $0.01 compared to $0.04 per share for fiscal 2023. Lastly, our weighted average diluted outstanding share count for the full year is $65.3 million. Turning to our segment breakdown for the fourth quarter. Music publishing generated revenue of $26.4 million in the quarter, which represents a 14% increase when including acquisitions made in Q4 versus the same period last year. Our performance revenue increased $3.2 million, or 73%, and digital revenue increased $1.3 million, or 11% to $13 million. Synchronization revenue in the publishing segment totaled $3.6 million, a 14% decrease from the fourth quarter of last year. This is primarily due to the writer and actor strikes last fall, which caused production delays in the television and film industries. Mechanical revenue within the publishing segment posted an 11% decrease year-over-year to $1.2 million. Other revenue within the publishing segment was $1 million, a decrease of 35% compared to the prior-year period which included one-time revenue from the FIFA World Cup. A recorded music segment generated $11.2 million in revenue in the fourth quarter, representing an increase of 3% versus the prior-year quarter. Digital revenue within the recorded segment increased 9%, primarily due to the recent price increases and subscriber growth at DSPs. Physical revenue decreased 34%, largely due to the release of De La Soul's album, "3 Feet High and Rising" in Q4 of fiscal 2023. Our synchronization revenue increased 147%, thanks in part to strong 2024 Super Bowl synch activity. For the full year, our music publishing segment revenue rose 15% compared to the prior year. Our improvement is largely derived from higher royalty rates and price increases at multiple music streaming services, as well as the expansion of our catalog through M&A. We saw a decrease in other revenue which was impacted by the non-recurrence of World Cup related activities that occurred during fiscal 2023, and we had slightly lower synchronization revenue due to the writer and actor strikes in Hollywood. Recorded music revenue increased 22% compared to fiscal 2023. This came from continued subscriber growth at music streaming services, the price increases at several of those streaming services, and the timing of our release schedule for fiscal product. Let's move on to our balance sheet. At year-end, our credit facility was at roughly $335.8 million. We closed the year with total liquidity of $132.3 million, comprised of $18.1 million of cash on hand and $114.2 million available under our revolver, which gives us the capital to fund our strategic objectives. We ended the year with $330.8 million of total debt, which was net of $5 million of deferred financing costs and thus we maintained $312.7 million of net debt. That compares to net debt of $296.6 million as of last fiscal year end. Also of note, in February 2024, we entered into an additional interest rate swap of $50 million with an effective date of September 30, 2024. We will pay a fixed rate of 3.96% and receive a floating interest from our counterparty based on SOFR. We're comfortable with our debt levels, revolver, and cash on hand to continue to fund both business and any acquisitions we choose to make. This past fiscal year was remarkable for Reservoir with multiple unique opportunities to drive organic revenue generation through our value-enhancement efforts. We executed several immediately accretive deals while exercising prudent cost management despite an inflationary environment. Turning to the 2025 fiscal year, we expect revenue to be in the range of $148 million to $152 million and adjusted EBITDA to be in the range of $58 million to $61 million. And as Golnar said, we have a strong pipeline of potential acquisitions and are in a solid financial position to continue executing transactions where we see the greatest ROI. With that, I'll now pass the call back to Golnar.
Golnar Khosrowshahi: Thank you, Jim. We are entering the 2025 fiscal year with a strong financial foundation and a robust portfolio of assets. Our financial guidance reflects our confidence in both driving organic growth with our value-enhancement efforts and capitalizing on the projected growth of the music industry. We will continue to partner with our roster of award-winning creators to bring their bodies of work to listeners around the world and look forward to playing an important role in the future of music. With that, we will now open the line for questions.
Operator: Thank you. [Operator Instructions] Now, first question coming from the line of Griffin Boss with B. Riley Securities. Your line is open.
Griffin Boss: Hi, good morning. Thanks for taking my questions. So to start off, you paid down $11.5 million of debt. Nice to see the net leverage come down a bit. Was there anything driving that decision other than just typical capital allocation decisions? So I guess said differently, did that have anything to do with what you're seeing on the catalog acquisition side? Maybe not as many attractive opportunities or higher multiples or getting outbid in certain transactions. Just any more color you could provide on that would be helpful.
Jim Heindlmeyer: Sure. Thanks for the question, Griffin. So really, it just had to do with our ongoing cash management, management of our balance sheet. It had nothing to do with deal flow or a shortage of opportunities there. It's really just decisions that we make all the time with respect to capital allocation.
Griffin Boss: Okay, got it. And then Golnar, did you just, on that front, did you say the pipeline is $1 billion now? Is that down from the $2 billion from last quarter? Did I hear that right?
Golnar Khosrowshahi: Yes. That's correct.
Griffin Boss: Okay, got it. And then, just, is there any color you can give on your M&A outlook for fiscal year '25, or are there any -- do you have any allocation plans for catalog acquisition or royalty advances that you can provide?
Golnar Khosrowshahi: We're very optimistic about the deal flow. The pipeline is quite robust. We have a few very interesting off-market opportunities that are available to us and we're excited about that. So I think it's very much business as usual there, tapping into our expertise and being able to execute on these off-market opportunities. And I'm generally quite optimistic about what that pipeline looks like. I think we continue to see assets trading in the mid-to-high teens, and we are, obviously executing well below that. And that's a good position to be in for us.
Griffin Boss: Great. Okay. Thanks, Golnar. And if I could just squeeze one more in. Coming off a strong year in both publishing and on the recorded side, when you look at the top line growth rate in your guide for fiscal year '25, how are you seeing that breakdown between the two segments? And is there a level of caution built into that guide, given the recent Spotify bundling news?
Jim Heindlmeyer: Yes, I mean, certainly we factor all of those things into our guidance. In addition to the issue with Spotify and how they're treating the bundle, we have things that we look at, like the fact that we released De La Soul's entire catalog during fiscal '24 and how that will impact us as we move into the next fiscal year. Obviously, that's not something that is recurring every year. So we're constantly evaluating those types of one-off items that might be headwinds or in some years maybe tailwinds with upcoming plans. And certainly, I think there's a certain amount of conservatism that we operate with, with respect to guidance until we get a little bit further into the year.
Griffin Boss: Okay, understood. Thanks for taking my questions. Appreciate it.
Golnar Khosrowshahi: Thank you.
Operator: Thank you. [Operator Instructions] And our next question is coming from the line of Richard Baldry with ROTH Capital. Your line is open.
Richard Baldry: Thanks. Can you dig a little deeper into the change in the pipeline from $2 billion to $1 billion? Are you sort of scrubbing the expected ROIs harder and pushing them out or have a lot of deals just closed and gone in different directions? How do we think about that change over the last quarter?
Golnar Khosrowshahi: I think there were a couple of larger deals that have moved and we are still seeing sort of ample deal flow for us and our appetite, but that's really the dynamic there, nothing more than that.
Richard Baldry: If you look to next year's full year guide, I know there's some puts and takes to product cycles and launches and things, but you did organic growth of 8% in the fourth quarter, 14% for the year. So taking down next year's outlook to 4%. Can you talk about maybe how much conservatism you think is built into that, or how much product cycles or one-off events drove upside to fiscal '24?
Jim Heindlmeyer: Yes. Well, there's certainly a lot of detail that goes into answering that question, but I would say -- I already mentioned the fact that in fiscal '24, we released De La Soul's entire back catalog physically and digitally, that was a great source of revenue for us in fiscal '24, and it will be an ongoing source of revenue, but not at that level. So that's one of the things we factor in. We've talked about the changes with Spotify and their bundling. Billboard's estimated that will impact the industry at about $150 million a year. And we have factored that into our guide there. So, there's certainly some one-off items that I guess I'd classify as headwinds for us as we go into fiscal '25. And we certainly typically operate with, like I said before, a certain level of conservatism until we get to really the September quarter, halfway through our fiscal year, and see where we are and update at that point.
Richard Baldry: Then, last one for me. If you look into -- a little deeper into the AI and machine-learning types of investments you're putting in, sort of curious, do you think that's more of a revenue generator because of the ability to look for, I don't call it leakage in people who should be paying but aren't, or do you think it's more of a cost saver in automating internal or back office functions? How do you think about the payoff for those investments?
Golnar Khosrowshahi: I think it's a little bit of both. There's certainly efficiencies that are created freeing up human resource, as we said. The other side of that is that we become better at licensing. We become better at the content that we are licensing and mining the catalog. And that certainly is a direct link to revenue generation. So we look at it really both ways insofar as the tools that we are implementing with existing platforms that we're using as well as new ones that we are assessing.
Richard Baldry: Great. Maybe last for me. If interest rates are going to stay in this higher for longer which Fed keeps talking about, do you think that overall does sort of put a damper on the pace of M&A or are you seeing adequate ROI in the pipeline, if you're looking at to not really view that as a material intermediate-term headwind? Thanks.
Golnar Khosrowshahi: Based on the pipeline and the targets that we are looking at and the diligence that we are doing at this time, we are still seeing opportunities that are giving us ample opportunity or ample return within that deal flow. So for the time being, we're not seeing any kind of change there.
Richard Baldry: Great. Thanks, and congrats on a good year.
Golnar Khosrowshahi: Thank you so much.
Operator: Thank you. And I see there are no further questions in the queue at this time. I will now turn the call back over to Golnar Khosrowshahi for any closing remarks.
Golnar Khosrowshahi: Thank you, operator. We appreciate your interest in Reservoir Media. I wish to thank our talented team for their dedication and to our roster of creators who entrust us with their life work. We look forward to sharing our fiscal first quarter results with you later this summer. Thank you.
Operator: That does conclude our conference call. Thank you all for your participation. And you may now disconnect.